Operator: Greetings and welcome to the Trupanion Fourth Quarter and Full Year 2022 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Laura Bainbridge, Investor Relations. Thank you. You may begin.
Laura Bainbridge: Good afternoon and welcome to Trupanion’s fourth quarter and full year 2022 financial results conference call. Participating on today’s call are Darryl Rawlings, Chief Executive Officer; Margi Tooth, President; and Drew Wolff, Chief Financial Officer. Before we begin, I would like to remind everyone that during today’s conference call we will make certain forward-looking statements regarding the future operations, opportunities, and financial performance of Trupanion within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These statements involve a high degree of known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed. A detailed discussion of these and other risks and uncertainties are included in our earnings release, which can be found on our Investor Relations website as well as the company’s most recent reports on Forms 10-K and 8-K filed with the Securities and Exchange Commission. Today’s presentation contains references to non-GAAP financial measures that management uses to evaluate the company’s performance, including without limitation variable expenses, fixed expenses, adjusted operating income, acquisition costs, internal rate of return, adjusted EBITDA, and free cash flow. When we use the term adjusted operating income or margin, it is intended to refer to our non-GAAP operating income or margin before new pet acquisition and development expenses. Unless otherwise noted, margins and expenses will be presented on a non-GAAP basis, which excludes stock-based compensation expense and depreciation expense. These non-GAAP measures are in addition to and not a substitute for measures of financial performance prepared in accordance with the U.S. GAAP. Investors are encouraged to review the reconciliations of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in today’s press release or on Trupanion’s Investor Relations website under the Quarterly Earnings tab. Lastly, I would like to remind everyone that today’s conference call is also available via webcast on Trupanion’s Investor Relations website. A replay will also be available on the site. With that, I will hand the call over to Darryl.
Darryl Rawlings: Thanks, Laura. Revenue for the year grew 29% year-over-year to $905 million, marking another year of strong growth. We ended the year with over 1.5 million total enrolled pets. The consistency of these results demonstrate the benefits of our monthly recurring business model and a large under penetrated market. With inflation in veterinary medicine continuing to outpace that of a pet owners’ disposable income, the need for our products will continue to grow. Total adjusted operating income grew 14% year-over-year to $89 million. As a percent of revenue, our subscription adjusted operating margin was down 100 basis points year-over-year as the cost of veterinary care grew faster than we initially predicted. Long-term, expansion in our adjusted operating income will make it easier for us to deploy greater sums of capital and high rates of return. In 2022, we deployed $80 million of these funds, acquiring pets and an estimated internal rate of return of 30%. We also invested approximately $16 million on two acquisitions that gained us access to Continental Europe. In doing so, we nearly doubled the number of veterinary hospitals in our addressable market. Further, we added two new distribution channels in North America and continued to work on our new low and medium coverage brands, including significant investments in our infrastructure to support these growth initiatives. In 2022, our balance sheet and access to working capital provided us the funds to do so. Margi will provide additional commentary on the progress against our 60-month plan momentarily. Although these are very early days, we are pleased to have these initiatives in market with the majority of upfront spend behind us. As we have said before, we expect it will take years to build momentum. This is a characteristic we understand well with monthly recurring revenue. Our low margin other business segment grew revenue by 51% year-over-year and adjusted operating income was approximately $10 million. As a reminder, we are required to hold cash in the form of capital reserves to support this growth. In aggregate, these capital reserve requirements totaled approximately $60 million, which is more than we have earned in our adjusted operating income for this business segment over the same time period. In effect, our other business segment has been limiting our ability to deploy capital at higher rates of return. With this in mind, we have been working towards a long-term agreement with our large partner and our other business to more effectively utilize our capital for our subscription business. Through our new agreement, existing policyholders will now stay with Trupanion for a minimum 3-year period. We expect the majority of new business to be issued by a different underwriter as early as Q2. Any new pets that we underwrite moving forward will be at a more reasonable margin. Looking ahead, we will be prioritizing our capital deployment for our entire business in areas that deliver us the highest returns. In 2023, our focus will be on continuing to leverage our veterinary leads in North America and further strengthening our balance sheet as main drivers of value creation. With that, I will hand the call over to Margi.
Margi Tooth: Thank you, Darryl and good afternoon everyone. I’ll echo Darryl’s sentiment that it was a strong growth year for Trupanion. We deployed $80 million to acquire nearly 260,000 pets at an estimated internal rate of return of 30% on a trailing 12-month basis. We also added approximately 29,000 additional pets in the fourth quarter through two acquisitions in Continental Europe. Excluding these pets on new pet growth of 15% benefited from robust leads led by the veterinary channel and a modest improvement in conversion rate year-over-year. We delivered this growth while maintaining our strong levels of member retention. Absent on new products, the average Trupanion pet stay with us for approximately 77 months in 2022 which we believe to be significantly higher than the industry’s average. Drew will provide commentary on our overall book of business momentarily. With our territory partners consistently back in the field in 2022 and the rising cost environment making high quality medical insurance more relevant than ever, we saw good engagement and returns from the veterinary channel. Positively, we also saw a notable uptick in veterinary adoption and the use of our software solution that enables us to pay member invoices directly to the hospital at the time of checkout. This was especially prevalent in the second half of the year as inflationary pressures took hold and we ended 2022 with our software in approximately 8,000 hospitals across North America. This is up over 24% from the prior year, the highest rate of deployment yet. Our territory partners and their relationships with veterinarians and their staff is a core moat around our business. In November, we hosted our first in-person territory partner conference in 3 years. We were thrilled to be together again in-person to celebrate wins and setup execution for the year ahead. As a reminder, our PAC spend is all inclusive and our estimated internal rate of return for the fourth quarter of 31% reflects the cost associated with the conference. Absent the spend, our estimated IRR would have been about 2% higher. This is a trade-off we are happy to make with much of the anticipated benefits still to come. I am encouraged by the discipline the team show with PAC spend in the quarter, particularly in light of the margin pressure we face in the back half of 2022. We will lean into this discipline even further in ‘23 as we look to drive IRRs to the higher end of our guardrails. We also continue to take actions to get ahead of the changes we are seeing in veterinary medicine. Since we last spoke, we have an additional 4% pricing increase approved, including approvals in two key states. Absent the impact of changes in mix, we now have the total pricing increases of 15% flowing through our book exiting this quarter with another 3% imminently planned. As a reminder, pricing changes are applied immediately to new pets, but flow to our existing book over a 12-month period. In December, our average pricing increase was 8.5%. In January, it was 11.2%. In February, we expect it to be 13.1% and March 14.4%. This will continue to build through the year. The team is working diligently to get back to our 15% margin target by the end of this year. With pricing actions taking effect, we are focusing on our member retention efforts to get ahead of the anticipated pressure on this metric. We have yet to see any material impact should these rate changes come through given the 12-month roll-on, but we fully expect them to. Nevertheless, the ARPU increases resulting from these rate adjustments should more than offset any impact to revenue. More importantly, pricing increases will hold us to our pricing promise of 71%. Ultimately, it’s this promise of value that will enable us to keep our members for the life of their pet. We remain steadfast in our mission to help pet owners budget and care for their pets. In the years ahead, the need for our product will only grow and continued focus on our mission will ensure we are able to support as many pets as possible. And speaking of such support, in the final days of 2022, we surpassed the milestone of having paid out over $2 billion in veterinary invoices. This is a milestone no other provider has reached as quickly as we have and it’s a testament to the problem we are solving. How many of those pets would not have survived without Trupanion? The Trupanion brand, the main focus of my commentary thus far, remains the primary engine behind our reportable performance. As Darryl mentioned, in 2022, we also made progress against our other 60-month plan initiatives, including advancing our lower cost products, PHI Direct and Furkin end-market launching are powered by a suite of products with Aflac and Chewy and building on our international efforts. Collectively today, these initiatives are small. In 2022, our new products in North America represented just 3% of our new pets. With these initiatives moving out of development, we now turn our attention to optimizing these revenue streams for growth. We will be disciplined in our approach, rolling out in a way that allows us to step up into growth and operating well within our IRR guardrails. In 2022, we significantly expanded our addressable market acquiring a foothold in Continental Europe. With the addition of Europe, we estimate our reach to be doubled to over 50,000 veterinary hospitals. Based on the nature of its revenue, contribution from our European acquisitions is relatively modest. As a reminder, these two businesses currently operate like marketing organizations, selling insurance products that are peppered through another underwriter. In the quarter, revenue from these two acquisitions was approximately $200,000. But more importantly, the acquisitions cum talent, technology, licensing and relationships that will drive ease of entry in these regions. In addition, in November, we announced our joint venture with Aflac in Japan and are working hard on a go-to-market plan. This will approximately add a further 10,000 veterinary hospitals to our addressable market. As a reminder, our goal is to bring a Trupanion-like product into Europe and Japan this year. With the first 24 months of our 16-month plan in the rearview mirror, we have made substantial strides across many of our strategic initiatives. Some areas are further along than others, but we have built a strong foundation for growth. Throughout this, we have demonstrated a solid track record of disciplined capital allocation, especially when faced with recent inflationary pressures. We still have work to do, but I expect that as we emerge from today’s inflationary environment, we will do so from a position of competitive strength having solidified our pricing promise and commitment to delivering the highest sustainable value proposition in the industry both for the vets and the pets. With that, I will hand the call over to Drew.
Drew Wolff: Thanks, Margi and good afternoon, everyone. As Darryl and Margi covered many of our 2022 financial highlights, I will focus my commentary on our fourth quarter performance, as well as discuss our outlook for the first quarter and full year 2023. Total revenue for the quarter was $246 million, up 27% year-over-year and led by strong pet enrollment in our subscription business, in addition to growth in our other business. Within our subscription business segment, revenue was $158.6 million in the quarter, up 18% year-over-year. Our business experienced a larger than typical year-over-year impact from the U.S. to Canadian exchange rate. On a constant currency basis, subscription revenue would have been up 20% year-over-year or $161.1 million in the quarter. Total enrolled subscription pets increased 24% year-over-year to over 869,000 pets as of December 31. This includes approximately 29,000 new pets that were added in the fourth quarter as a result of our European acquisitions. Excluding the new pets from acquisitions, total enrolled subscription pets increased 19% compared to the prior year period. Across all of our products, our average monthly retention which is calculated on a trailing 12-month basis, was 98.69% compared to 98.74% in the prior year period, equating to an average life of 76 months. Monthly average revenue per pet was $63.11, which is up 0.5% year-over-year on a constant currency basis. On that same basis, cost of veterinary invoices per pet increased 2.8% over the same time period. As we have noted in previous quarters, ARPU and cost of veterinary invoices continue to be impacted by a change in mix of business, included accelerated growth in our lower ARPU areas. Our loss ratio was 72.7% in the quarter, which is down 80 basis points from Q3. This reflects a seasonally lower claims period. Variable expenses as a percentage of subscription revenue were 9.6%, down from 9.8% in the prior year period. Fixed expenses were also down to 4.1% of subscription revenue in the quarter compared to 4.9% in the prior year period. Combined, variable and fixed expenses as a percent of subscription revenue declined 100 basis points year-over-year as the team continue to drive efficiencies throughout our business to offset our elevated loss ratio. As a result, subscription adjusted operating income was $21.5 million, an increase of 6% over the prior year period. On a constant currency basis, this would have been an increase of 9% or adjusted operating income of $22.2 million. For the quarter, our adjusted operating margin was 13.6%, up sequentially from 12.8% in the prior quarter. Now I will turn briefly to our other business segment, which is comprised of revenue from other products and services that generally have a B2B component and different margin profiles than our subscription business. Total other business revenue was $87.4 million, an increase of 45% over the prior year period, led by growth in new pets. We anticipate growth in our other business segment to slow in 2023 as our partner transitions to an additional underwriter for their new book of business. We currently expect growth in this segment to approximate 10% in 2023. But keep in mind that timing may shift. Adjusted operating income for our other business segment was $3.3 million in the quarter. In total, adjusted operating income was up 11% over the prior year period to $24.8 million. We invested $20.3 million or 15% more year-over-year to acquire approximately 66,000 new subscription pets, excluding those added from acquisitions. This resulted in a pet acquisition cost of $283 and an estimated internal rate of return of 31% for a single average pet as calculated on a trailing 12-month basis. We also invested an additional $2.1 million in the quarter or $7.8 million for the full year of 2022 on development costs. As Margi noted earlier, 2022 was the significant foundation setting year for our long-term efforts, including international expansion, as well as new products and distribution channels. Moving into the first quarter, some of these expenses will shift out of development into variable or fixed within our subscription business. Adjusted EBITDA was $2.2 million as compared to $3.5 million in the prior year quarter. Depreciation and amortization was $2.9 million for the quarter. Total stock-based compensation was $8.4 million for the quarter in line with our expectations. Net loss was $9.3 million or a loss of $0.23 per basic and diluted share compared to a net loss of $7 million or a loss of $0.17 per basic diluted share in the prior year period. Turning to our balance sheet. We ended the year with over $230 million in cash and investments. We hold approximately $69 million in debt with $75 million available under our long-term credit facility. Shifting to full year cash flow, operating cash flow was a negative $8 million for the year compared to a positive $7.5 million in 2021. Capital expenditures totaled $17.1 million in 2022, a step-up from $12.4 million in 2021, largely reflecting investments in our next-generation policy administration platform. As a result, free cash flow in the year was negative $25.1 million. Since 2020 and the approximate $200 million strategic investment from Aflac, we’ve been able to operate outside our previous guardrails of positive free cash flow and invest in increasing our addressable market. With much of our foundational investments now in place, we intend to prioritize cash flow generation in 2023. With this in mind, I’ll turn to our outlook. Keep in mind that our revenue projections are subject to conversion rate fluctuations, most notably between the U.S. and Canadian currencies. For our first quarter and full year guidance, we used a 75% conversion rate in our projections, which was the approximate rate at the end of January. We expect this will amount to 1% to 2% year-over-year foreign exchange headwind, particularly in the first half of 2023. For the full year of 2023, we are now planning to grow revenue in the range of $1.32 billion to $1.64 billion. This is approximately 16% growth at the midpoint. We are planning to grow subscription revenue in the range of $700 million to $720 million, representing 19% year-over-year growth at the midpoint. We expect total adjusted operating income to be in the range of $99 million to $108 million or 16% growth at the midpoint. As Margi noted, it will take time to flow our pricing through our book. Because of this, we expect to see a step back in adjusted operating margin sequentially in Q1 before building back towards our 15% subscription adjusted operating margin target by year-end as our pricing actions take hold. Of our adjusted operating income, we’d expect to invest approximately $80 million to $85 million in acquiring pets within our subscription business. We intend to closely monitor the broad market environment and leverage the team’s strong track record of adjusting PAC spend up or down in relation to market opportunities as needed. Development expenses are expected to be around $5 million in 2023. As for the first quarter, total revenue is expected to be in the range of $249 million to $253 million. Subscription revenue is expected to be in the range of $164 million to $165 million. This is 18% year-over-year growth at the midpoint. Total adjusted operating income is expected to be in the range of $21 million to $23 million. Thank you for your time today. With that, I’ll hand it back over to Darryl.
Darryl Rawlings: Thanks, Drew. I want to take a moment to remind you that we’re quickly approaching two of our marquee investor events for the year. On May 6, we will once again be hosting our annual Q&A in Omaha. On June 7, Margi and I will be joined by our team at our headquarters in Seattle for our Annual Shareholder Meeting. This once-a-year event is your opportunity to hear directly from the leaders responsible for executing the initiatives in our 60-month plan in a Q&A-focused format. Additional details for both events can be found on our Investor Relations website. We hope to see many of you there. In the next few weeks, we will also be publishing my annual shareholder letter for 2022 for those looking to better understand our business and how we think. I encourage you to read it. With that, we will open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Elliot Wilbur with Raymond James. Please proceed with your question.
Darryl Rawlings: Hello, Elli. Are you there?
Elliot Wilbur: Yes. Can you hear me?
Darryl Rawlings: We can now. Thanks, Elliot.
Elliot Wilbur: Okay, thanks. First question for Margi, I guess given that you just came out of your national sales or territory partners meeting, wondering if you could just talk in general terms about the plan in terms of territory partners for 2023 number of targeted hospitals that you expect to be calling on and whether or not you anticipate any changes in calling patterns, meaning territory reshuffling or reallocation of resources?
Margi Tooth: Hi, Elliot. So yes, so territory partners conference first one in 3 years, it was great to have everyone back together and the real cause for having that conference is both to celebrate what we achieved in the year prior, but also really to look forward to this year. In terms of our strategy, we’re absolutely fixed on doing what we know we do well. We’ve been 9 months back in the field since back in last March and consistency of that core pattern, the development and deepening of those relationships and most of the hospitals has really led two things, a big uptick in that lead, a big uptick in software install rates. And so for us, we know that works, and we’re continuing on the same path. The territories that are overseen by the general managers and the general managers and the territory partners are doing a great job working in partnership together to continue to deepen that moat. So no difference to what we’ve always been doing. I think we can look forward to 12 months of solid vet activity. We get to 25,000 vet hospitals several times in any given year. So the way that the market has casted up, it really allows us to have one-on-one conversations, direct discussions to support those hospitals when they need us and they do. And we will continue to do the same thing as we’ve always done. It’s working for us right now, and we’re happy to get back into that group.
Elliot Wilbur: Okay. And then I know we will see the numbers in a couple of weeks with the shareholder letter, but just thinking about call frequency and engagement, I guess, where are we now or exiting the year versus pre-pandemic levels?
Margi Tooth: Yes. So yes, there was a little bit more detail on the shareholder letter, which will be coming out, as you say, in just a few weeks. In terms of our overall core patterns, we are back on track – actually a little bit ahead of where we were prior to the pandemic. So now we have more people in the field than ever before. We’ve crossed the 160 mark, which is fantastic. So that means we’re able to kind of get out there more frequently and have those, like I said, more frequent conversations. Just in terms of the overall number of hospitals we’re hitting, we just said that we’re in 8,000, over 8,000 hospitals of our software. We have been working with over 16,000 hospitals on a regular basis. I think when we think about those numbers as they continue to build, that’s really through that ongoing education, conversation dollars that we’re having. And you can expect to see that continue to ramp up as we make sure that we have all territories occupied over the next, I would say, 6 months, 6 to 9 months.
Elliot Wilbur: Okay. Then I want to ask a question on inflation trends as well. I mean it sounds like pricing flow-through is essentially consistent with what you discussed in connection with 3Q results, maybe slightly different in terms of timing. But I guess sort of the aggregate level is roughly consistent. But in looking at some of the inflation numbers out over the last couple of months, I mean, clearly, annualized increases have continued to decline. So I’m wondering what you’re seeing in your book of business versus what you discussed last call and sort of relative to what you’re planning to do in terms of rate increases?
Margi Tooth: Sure, yes, I can start this off and then hand over to Drew as well who can provide some more context. But just in terms of where we were, as we mentioned before, there are no surprises going into the CR, I’d say that everything is as we expected. When we went through with our pricing changes towards the back half of last year, they roll on gradually, as you know. So what we see is we will see a kind of slower roll out of the gate. And as I mentioned in the call, by the end of this quarter, we don’t to be about 15% with another 3 points coming through the rest of the year. That is – what we forecast there is in line with what we’re seeing, and we are trying to get a little bit ahead of that to make sure that we had had enough room in there to grow into any potential future increases. I would say that it is as expected right now, which is good, and we will be paying particular attention to this, especially after last year. We’re watching it very closely and I’m really kind of making sure that we’re looking at our frequency and severity on a very regular and very granular level basis. So I think all things being equal, we’re in good shape here. We’ve got good data. We’ve got good lens on where things are going. Typically, that will raise the rate once a year, usually in January, February, March. So kind of seeing those trends come through. And I think we’re poised now to both take action if anything changes. But at the moment, we feel happy with that 18% that we’ve got through the book. Drew, what would you add?
Drew Wolff: I guess the only thing I’d add is just that dynamic that Margi described. Our rates come through linearly. And we tend to see step changes in vet pricing and that where they take prices early in the year, it’s one big dynamic. And so that’s why we take a step back in margin, but that’s totally consistent with the outlook that we gave in Q3 and the pricing that we talked about, that is all in line as expected.
Elliot Wilbur: Okay. And just last question on monthly or retention rates, another very modest sequential decline. Can you just maybe talk about sort of what you think is driving that? Is it in fact related to the level of price increases in the book of business? I mean I know you discussed sort of the and again, in the annual letter, the bucket with 20% plus increases being more negatively impacted in terms of churn, but I’m not sure necessarily the levels that we’re seeing are impacting the churn rates. And I guess, just sort of given the context of just higher inflation levels, are you actually seeing more policyholders present and look to or exploring the option of canceling policies and you’ve just been able to more effectively address those and retain the business or has that actual number of policyholders presenting or considering potentially canceling not really changed with the recent increases? Thanks.
Margi Tooth: Yes. So I mean, really, I would say, highest level, there’d be no surprises. It’s going as we expected from a retention perspective. And to your point, when you look at the macro environment, we have seen a slight decline, but let’s – for context, 77 months we believe is probably 2x the industry average. So we’re coming at a very high retention level anyway. I would say that as we look at the overall volume that we’ve got coming in the pipeline, it’s not dramatically different, hence not just that slight drop there. But we also haven’t yet rolled through all of those pricing changes. So as they come on, we do expect to see some impact to retention. And we still believe that we will be keeping our pets twice as long as the industry average. That said, we are expecting to see a – over the course of the next 6 to 12 months as we get to the bulk of the book seeing those increases roll through, we will see a little bit of a hit there. Just in terms of – I mean Drew can speak to the numbers in terms of what that impact actually is. I would say overall, though, anything that we are putting through from retention – sorry, from an ARPU perspective as those prices increase, we do believe it’s going to offset the retention and it’s necessary for us to make sure that we’re living up to the value proposition, and we can sustainably try to keep our membership for the life of the pet. Drew?
Drew Wolff: I’d just add, one good data point is as we look back in our history, in 2019, we had almost 20% of members got a price increase greater than 20%. And back then, we had a retention rate at 70 months roughly in the low 70s. And so – and we’ve got a lot better at retention since then. But that gives you a point of reference point of what it might look like.
Margi Tooth: I think one of the other tactics the teams are thinking about as well to add to that. As we see the rates come through, and we see more of our members falling into that 20% plus bucket, we do have what we internally refer to as our pricing promise and what this is, is basically we’re trying to price to stay in line with the expenses that are coming through that invoices in the event that we price ahead of that, we are committed to being able to rebate to our members in some shape or form, and we’re again, true to that value proposition. So as a retention message, we’re not trying to change anything from our member and our promise that we made to members, and that commitment is holding true as we roll these prices through.
Darryl Rawlings: Operator, you want to take the next call? Operator, are you there?
Operator: Sorry. Our next question is from John Barnidge. Please proceed with your question.
John Barnidge: Thank you very much. Appreciate the opportunity. I had a question around the term loan and plans to draw. I know in the prepared remarks, there was a comment about increased reserve requirements with state regulators. So curious about that and plans to draw on that term loan, please? Thank you.
Drew Wolff: Sure. I’d remind everybody what we have is a revolving credit facility. It’s a long-term 5-year facility. That total is $150 million, has a $15 million line of credit feature. And then any draw that we do on it becomes a term loan. So – and we view this as a lower cost way to fund our reserve requirement versus equity. And that’s kind of our internal debt management guardrails. And so yes, over time, we will continue to draw on that to fund reserves. Now the agreement that we’ve reached with a large partner in our other business really is about more efficient capital usage and frees up reserves inside our insurance company to allocate towards our higher-margin subscription business. And we do that as a significant upside there. But yes, over time, that’s how we will fund our reserve requirements.
John Barnidge: Great. Thank you for that. And then I had a question about open enrollment season for the worksite. There is times where a new medical product or can get introduced and there is a lapse and reissue dynamic that begins to emerge as someone switches maybe from a vet-driven channel to a worksite driven channel. Can you maybe talk about how you’re thinking about that for 1Q as open enrollment begins to take effect, please? Thank you.
Margi Tooth: Yes, sure. Let me just make sure I understand the question. So we are talking here about potential cannibalization of one channel to another. Is that fair?
John Barnidge: Cannibalization might be too strong. But yes, essentially, someone that might have had it through the vet channel now has it offered through their employer.
Margi Tooth: Yes. Thank you for that. So, I mean just in general, when we think about the penetration rate, I agree with you, cannibalization, it’s quite a strong word to use when we have got 3% penetration. Definitely in terms of the products and the distribution channels, the partnership with Aflac is really allowing us to reach a new type of pattern, if you will, than we typically with vet channel. So, we don’t anticipate seeing a huge crossover in terms of the people that we are speaking to. We are using our brand because our brand is known in the vet channel, and it’s known for being able to pay the veterinarian directly at the time of checkout. And we believe that through Aflac, we will not necessarily be hitting that same person. So, we are not, at this point, concerned about seeing any overlap or crossover, and we believe the products are designed very specifically for the purposes of which the consumer is shopping. So, they are in the work site. They are going to be looking for something a little bit different than if they are in a hospital. And I think for now, it’s very early days with worksites, just in a handful of enrollment coming through businesses. And really, we are kind of long-term looking to see how it can become a meaningful part of what we are doing, but nothing more to share really at this point related to it. But we will obviously be watching it to make sure that we can capitalize on the benefit that we have through our new distribution channel and our strategy.
John Barnidge: Thank you very much. Appreciate the answers.
Margi Tooth: Yes.
Operator: Our next question comes from Corey Grady with Jefferies. Please proceed with your question.
Corey Grady: Yes. Thanks for taking my question. I might have missed this in the prepared remarks, but did you provide any color on sub-count contribution from the PetExpert acquisition in Q4? And then what are you expecting in terms of contribution in 2023 from the European acquisitions?
Drew Wolff: Yes. We – the two acquisitions, we brought in 29,000 pets that came with those two acquisitions. As we mentioned in the prepared remarks, once again, they are marketing companies. It’s not the fully underwritten model that we have on our other business. And so the revenue stream from them currently is just the marketing commission. Now, our intent is to move to a full underwriting model, and that’s why they are in our subscription business, they are direct-to-consumer businesses. And we will eventually have them on a fully underwritten basis. But – so their revenue contribution is relatively modest. We had one month of PetExpert, which is by far the largest of the two, and that was 200,000. And so they are growing, and we intend to bring a Trupanion like product to them this year. But that’s for 2023, you can kind of back into what the contribution would be if you grow off that base.
Margi Tooth: Yes. If I can add some context in terms of the overall impact, so we would expect to see around 10% to 20% of our new pets coming from all of our new initiatives. So, that would both increase of international and our new distribution channels as we look through 2023. And as we are referring to Drew’s earlier comments, when you think about our pet count in the coming year, what we expect to see as a 20% increase in our pet count overall in terms of gross adds, but at the same PAC spend. So, that kind of really tells you that we are being very disciplined with our approach. We believe that having our international expansion allows us a great opportunity for success, and we are excited to be able to hold all of our general managers across all of the different countries we are involved in to the same guardrail. So, we will be looking to deploy that capital agnostic of where they are at the location, but at the same levels of the higher rates of return.
Corey Grady: That’s really helpful. Thank you. And I wanted to follow-up on John’s question on the term loan. Just on capital reserves, can you talk about plans to fund the higher capital reserves? And do you feel like you have enough cash on hand or you need to tap the term loan further?
Darryl Rawlings: Let me handle this at first and then I will hand it off to Drew. The changes that we have recently announced, is going to lower our need for capital reserves, not increase them. The – in our other business area where it’s been growing at a healthy clip, it has required us to hold about $60 million of reserve capital. And in aggregate, we have earned about $20 million of adjusted operating income, so obviously, not a super efficient use of funds. As that area slows down, our total capital requirements will lower and give us an opportunity to reinvest that same capital at places with higher rates of return. Drew, anything you want to add there?
Drew Wolff: No. I mean our – there is a big growth penalty in insurance reserve calcs that which penalized our entire book. And so that’s helpful in terms of more efficient use there. And our capital needs are totally linked with how fast we grow. As we have outlined, we are being disciplined in allocating capital to our highest return areas. And should we get margin expansion as we go through the year, then we will look at deploying more capital, but right now, going into the year, that’s our posture.
Corey Grady: Thank you.
Operator: Our next question comes from Ryan Tunis with Autonomous Research. Please proceed with your question.
Ryan Tunis: Yes. Thanks. Good evening. First question, I guess for Drew. You gave first quarter adjusted operating earnings guidance. What are you contemplating in that the subscription invoice ratio?
Drew Wolff: I think in loss ratio, I think you will see a step back up, but then building back towards a step down and a subscription adjusted operating margin. But – so starting lower in the year and then building up to 15% in the back half of the year. So, embedded in our full year guidance is a 13% to 14% subscription operating margin. But – with that, it’s very consistent year-over-year growth in subscription revenue and subscription AOI. And there is a lot more of the year to go. As we go through it, if we see margin expansion coming through, then we will deploy more capital for more growth.
Margi Tooth: And I think if I can add to that as well, when we think about the overall cost of goods, we expect to see that coming up about 10% to 12%. So, at the moment, as a reminder, the amount of rate we have flowing through is between 15% to 18% in ARPU. So, the earning that get us back to kind of where we should be from a catch-up from last year put us nicely in line or slightly ahead of that curve in terms of the cost.
Ryan Tunis: Got it. I guess following up on that, I guess I was a little bit surprised that ARPU didn’t increase a little bit more. How should we interpret it? It looks like ARPU was sort of flat on the adjusted basis. How should we interpret that given the rate you put into the book?
Drew Wolff: Yes. We have been talking about this dynamic all year, and it’s a healthy mix. We have – so from that, the headline like-for-like rates that Margi was talking about, it mix, drives it down to the lower rates. We also have significant FX year-over-year headwinds that we typically don’t talk about unless they are over 1%. Well, in the first part of the year, they are 2%. But what we see for the full year ‘23 for an ARPU growth rate is on average for the whole year, 3% to 3.5%. That’s once again, consistent with our outlook back in October, nothing has really changed other than we have updated our mix assumptions. Now bear in mind, mix also plays through to claims because we are a cost-plus model. If we have lower ARPU, we are also going to have lower claims. So, those two go together, and that’s why we are focused on – at the end of the day, it’s about margin. And so full year 13% to 14% margins on average is what’s embedded in our guidance.
Ryan Tunis: Got it. And then just lastly, Drew, that was helpful. You mentioned the 2019 experience. I think you said 20% of the book at 20% rate, but you gave us like a 70-month retention number that was low-70s. How should we think about that in terms of reconciling it to kind of that monthly retention number that you give?
Darryl Rawlings: Yes, so, that – it’s Darryl, I will answer it. It’s in my shareholder letter. So, you are looking at about a 98.6% monthly retention rate equals about 70 months. And that’s referencing back to 2019 where we saw about 20% of our new pets at that rate. So, it’s just a placement time for people to go back and take a look at it. We have been there before. We have been through it, and we would expect some similar.
Ryan Tunis: Thanks so much.
Operator: Our next question comes from Jon Block with Stifel. Please proceed with your question.
Jon Block: Thanks guys. Good afternoon. First question, Darryl, maybe for you, just the change in the other revenue strategy, I guess those are my words, but why now was is it a free up capital? And also, was anything in response to regulations changing, I thought there might have been some regs that were changing or had changed in California. So, maybe you can elaborate on that, please?
Darryl Rawlings: Yes. No, I think these conversations started over 2 years ago, and it was to free up capital. I think if COVID didn’t happen, it might have occurred a little bit quicker. If we had not got the $200 million cash infusion from Aflac a couple of years ago, it probably would have moved a little bit quicker, but we were able to spend the time with our partner to come up with a solution that was beneficial to us and allowed them to kind of have a smooth transition, so, long-term in the planning.
Jon Block: Okay. But just to push you a little bit, regs didn’t change in California on that. It just seems like you took this business from 4% of revenue to 30%. Part of the reasoning was to get leverage in fixed expenses down to 4%, which you did seem to work out. I thought I came across regs changing in California. That wasn’t – that didn’t play a role in this?
Darryl Rawlings: No. We had come to this agreement in before any reg changes in California. It just took us a while to get it all papered. So, the reg changes in California did not drive this decision.
Jon Block: Okay. And then, Drew, for you, my same sentiments to the prior question on ARPU. I guess it’s an offline. I just always struggle with a base of 800,000. You added 70,000 pets, how it’s that dilutive. I am guessing there is also a component where higher ARPU pets must be churning off to get the suppression. But maybe just looking forward, do we still think ARPU in 2023 is up 5%. I know you went through some of the big increases that’s on the come in February and March that we will see start to roll through. But call it realized after we take this mixed dynamic into play, do we think about ARPU up 5%, ‘23 versus ‘22 in the P&L?
Drew Wolff: Yes. No, we are looking at for the full year of 3% to 3.5%. And that is driven by mix. Geography is the biggest driver of that, which then goes hand-in-hand with claims. And so parts our new business is above the portfolio and parts, new business is below, but that’s, we are pricing to the value proposition and not just to the top line. And so that’s what’s driving that dynamic. It gives us this growth. It’s – we continue to have ongoing strong growth, which is driven by this positive mix.
Jon Block: Okay. I have last two questions, I will take it offline. Thanks guys.
Darryl Rawlings: Thank you.
Operator: [Operator Instructions] Our next question comes from Shweta Khajuria with Evercore. Please proceed with your question.
Unidentified Analyst: Hi. Thanks. This is Jian for Shweta. I guess maybe not to belabor this point further, but on ARPU, I guess more conceptually beyond this year, how should we think about the progression of this line? Like, I mean do you expect this mix to continue to drive ARPU down? Is there anything that could kind of balance that out, if you can kind of talk about the long-term thinking on ARPU progression?
Darryl Rawlings: Yes. Mix is an interesting dynamic. The more successful we are in certain areas has lower ARPU. For example, we are about one decade in the penetration rate into the United States. We have been in Canada for two decades. Our growth rate in Canada is faster than our growth rate in the United States. The long we have been in market, the faster we grow, the more veterinarians recommend us. The cost of veterinary care in Canada is lower than it is in the United States. So, every time we are growing a higher percentage in Canada versus U.S. that lowers our mix. When you layer on top of that currency exchange and the U.S. dollar has been growing a lot faster than the Canadian dollar, that’s another factor. But now you got to take into effect, we have now added new distribution channels. All those distribution channels have lower-cost products and lower coverage. We have also added two new lines of products. Both of them have lower coverage, and that’s before we get into going into Europe. And the cost – the average cost of veterinary care in Europe is lower. So, once again, we are a cost plus model, and we – our job is the cost appropriately. It is also to understand the lifetime value of each of those streams of pet and to make sure that we are spending appropriately on pet acquisition to get those strong rates of return. Margi mentioned earlier, in Drew’s implied guidance for the year, we are looking to be growing PAC 20% year-over-year, but basically at the same amount of PAC dollars. That shows you that as mix is changing, so is the discipline around our PAC spend. So, our PAC spend is getting also equal. I know it’s hard for modeling. But as Drew said, in our forecast, we are currently looking at about 3% in ARPU, although the underlying increase for existing clients can be 15% to 18% as the year goes on, but it’s the nature of our business. Lots of categories of pet, lots of distribution channels and now multiple levels of products. So, hopefully that helps.
Unidentified Analyst: Got it. Yes. Very helpful. And one other question, if I may, just on the new distribution channels for this year. I think Margi, you said like 10% to 20% contribution from these channels. Does that include the Chewy partnership? And also, if you could just kind of rank order which channel do you expect to be – which of the new channels do you expect to be the more significant? And what’s kind of the linearity of that, especially just given – I am just thinking that Chewy, I guess the size of the base is quite significant for Trupanion, but if you can respond on that.
Margi Tooth: Yes. No, of course I can. So, you are right. I do say we expect to see somewhere between 10% and 20% for all of those new channels combined. So, that would be inclusive of the European acquisitions, Chewy, Aflac and all those price plan, so second. In terms of the contribution, when we are operating within the same margin profile for all of them, we are looking at the same guardrail. So, for us, we are totally agnostic and the expectation is we have got to get better in all instances learning how to generate leads and some of it is in others, it’s about conversion retention. I would say that all of them have got huge opportunities. All of them are things that we felt were, as we mentioned in our 60-month plan going back a couple of years now, something that we would be able to get to $100 million worth of revenue within 5 years of starting. I think kind of that’s still absolutely true. And for us, we are really kind of getting out of the gate this year and kind of putting the pedal to the metal and making sure that we are in a position to start to generate revenue. But I wouldn’t want to rank one above the other. I think overall, we can expect to see that 10% to 20%. And as we go through the year, we will have a little bit more color to share on which ones are leading the PAC. But they are all in good position to go forward and actually start to contribute to revenue quite meaningfully over the next couple of years, which is part of the plan.
Unidentified Analyst: Great. Thanks for the time guys.
Margi Tooth: Yes. Thank you.
Operator: We have reached the end of our question-and-answer session. And this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.